Operator: Welcome to McEwen Mining's First Quarter 2025 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; William Shaver, Chief Operating Officer; Perry Ing, Chief Financial Officer; Jeff Chan, Vice President, Finance; Stefan Spears, Vice President, Corporate Development; Michael Meding, Vice President and General Manager of McEwen Copper; and Carmen Diges, General Counsel and Secretary. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I will now turn the call over to Mr. Rob McEwen, Chief Owner. Please go ahead, sir.
Rob McEwen: Thank you, Operator. Good morning and welcome, fellow shareholders, analysts and interested investors. Year-to-date, 2025 has been an eventful year for us with the higher prices of gold, silver and copper brightening the outlook for our operations. We've increased our liquidity by using a financial instrument called the capped call convertible note. This instrument allowed us to reduce potential share dilution by setting an effective conversion price of -- at 100% premium to our share price at the time of the transaction. The majority of these funds will be used to advance the development of our Fox Complex, and we expect that once this work is completed and the Stock and Grey Fox mines are in production, our consolidated annual production in 2030 could reach as high as 225,000 to 255,000 ounces. This represents an increase of over 80% above our current production. So let's start with some other good news. It's taken some time, but our 49% interest in the San José mine has once again paid a dividend, and we're expecting more during the balance of the year. During the quarter, we were delighted to see Gold Bar produced 10% more gold than budgeted at a cash cost 24% below the low end of our annual guidance at $1,146 as opposed to the low end of our guidance of $1,500. However, I expect you will be alarmed when you see Gold Bar's all-in sustaining cost per ounce of approximately $2,200 an ounce. I want to explain this high number. It was a result of our decision during the quarter to access a gold zone that had been uneconomic at lower gold prices but was quite economic at today's gold prices. So we decided to accelerate the stripping rate in the first half of this year. And so far, that's cost us about $7.5 million in order to increase our production and lower our all-in sustaining costs in the second half of the year. Financially, Q1 2025 compares well to Q1 2024. I'll give you some examples. Our gross profit was up 68% to $10.1 million. Our adjusted EBITDA was up 38% to $8.7 million. Our cash and cash equivalents increased to $68.5 million from $17.5 million. Our consolidated working capital increased to $61 million as opposed to a negative $6.5 million. Our total debt went up to $130 million from $40 million. Our debt cost of service went from 9.75% to 6%. And our net debt is currently standing at just over $42 million. So speaking of our Fox Complex, it was a disappointing quarter from an operational perspective because production was lower than budget and cost per ounce were unacceptably higher than budget. However, many of the reasons for the underperformance are expected to be behind us with production and cost per ounce for the balance of the year looking much improved. Speaking of Fox, on a positive note, we just received our permit to construct a ramp to the underground at the Stock mine. This is a key element in our plans for the Stock complex expansion. So we're -- we have exploration going on, active programs at both the Fox Complex and at Gold Bar, and we will be releasing updates on that throughout the year. We just put out a release earlier today on our exploration, showing, particularly at the Grey Fox, how that resource has been growing quite rapidly, some good grades over nice intercepts. Quite optimistic that this still has quite a bit more room to grow. And with that, I'd like to open the session for questions.
Operator: [Operator Instructions]. And your first question comes from the line of Mike Kozak from Cantor Fitzgerald. Your line is open.
Mike Kozak: Yes. Good morning. Hi, good morning, Rob, and then team. Thanks for hosting the call. I just really had one question. Like how much cash or cash plus investments is held within the copper subsidiary?
Rob McEwen: Perry?
Perry Ing: Hi Mike, so currently, the treasury for McEwen Copper is below $10 million currently. Obviously, we expect to announce another financing at some point as we move towards the publication of the feasibility study. But currently, cash balances held at the McEwen Copper level are relatively minimal.
Mike Kozak: Okay. And then, my follow-up to that is that $10 million, do you think that's enough to get you -- to get that feasibility study complete? And then is it still -- I think the schedule is still there for July ideally?
Perry Ing: We will likely need some additional runway to get to July, Mike. I mean we just finished a geotechnical program at site. Site has wound down but -- the costs have come down significantly. But ideally, we'd like to complete another round prior to the feasibility study.
Operator: [Operator Instructions]. Your next question comes from the line of Bill Powers, Private Investor. Your line is open.
Bill Powers: Hi Rob, thanks for hosting the call. A few quick questions, I guess we'll start with San José as far as getting a $2.2 million dividend during the quarter. It still seems as though -- as I talked about last time, there still seems to be over $80 million of working capital. Have Hochschild given any indication on what they may be paying out? I would imagine -- have you talked about regularly quarterly dividends with them? Or what -- do you know the status?
Perry Ing: Sure. I can answer that as well, Bill. No, we're in regular dialogue with Hochschild. There is a focus to extend mine life at San José. So it's going to be a balance between reinvesting in the mine, especially with silver prices above $30 and gold where it is. So between continued exploration, return to shareholders and setting aside some funds for a rainy day and closure, it's going to be a balancing act. And right now, in terms of the Argentine peso, it's right now -- very strong right now. So that has a negative impact on reported U.S. dollar cash costs. But we are optimistic. We think the mining -- the mill expansion to 2,000 tons per day with the installation of the Vertimill has been performing very well. And with -- that allows us to increase throughput and lower unit cost, which effectively lowers our cut-off grade at the mine. So all those things are important to us, but we do expect to receive further dividends this year at these commodity price levels.
Bill Powers: Okay. No, good to hear. I guess one of the things I saw on your updated information sheet regarding the Fox Complex is that it looks like there's about $71 million of spend for development this year. I was wondering how far along, I guess, percentage-wise, are you complete with -- before you begin production? And is there any production expected to come from Stock this year? Or what could be the status of that?
William Shaver: Yes. Bill, I'm -- Bill Shaver here. I'll answer that for you. Yes, we anticipate that we will have the first production from the underground portion of the Stock mine in the last quarter of this year. The permit that we got a few days ago allows us to start the drilling and blasting of the ramp. And we now have, obviously, the final design of that ramp. And we anticipate that we will have the ramp-down sometime late in the third quarter or early in the fourth quarter. And at the same time, we have the shaft now dewatered down below the 400 level. And we're in the midst now of doing the surveying, making sure that all the headings are safe and properly bolted and so on to the standard that's required today. And the plan is to do some exploration-type work, sampling and so on, underground in the old workings because we know that mine was shut down when the gold price was relatively low. And we're confident that there's some -- a certain amount of ore down there that we can extract fairly quickly. So as soon as we get the ramp broken through so that we can load trucks from the underground that will allow us to go ahead with that work. And then, as we go into next year, we'll ramp Stock up to its full production capability.
Bill Powers: Okay. That's good to hear. I guess, one last question regarding Grey Fox. You guys have done a lot of drilling, seems to be going well. I guess, what is the time frame? And what might you envision the cost to put the Gibson Ramp back into production?
William Shaver: So that's a very good question. So we're just in the midst of starting a study on that, what the capital costs are going to be, what the operating costs are going to be and what the exact strategy is for, number one, getting the permit in as timely a manner as possible; and then number two, what's that going to look like in terms of a mine plan and capital. And I guess, the opening of the mine, the Grey Fox mine, I mean we're -- right now, we're studying, which is the best access method. Should we be talking about an underground operation or should we be talking about a small open pit? And both of those options are viable. So now it's a question of deciding which one is the cheapest and the fastest. So the plan initially for that part of the property, Grey Fox and the associated other ore bodies around there, would be to bring that ore back to the Stock mill. And it's relatively high grade, and therefore, we would establish some cash flow. And then the next step would be what is the long-term potential of Grey Fox, which we see as pretty robust. So then we would want to increase the tonnage through a process plant that would be significantly larger than the Stock mill. So that's another part of the study that we're working on. And I guess, I see a mine that's running at 3,000 to 5,000 tons a day. And then we need a tailings facility and so on. And I guess, the major thing we have to think about in terms of the ultimate timeframe for putting that together is how long is the permitting going to take. And so that's something that we're actively working on. And as we've all heard from our governments at both federal and provincial levels that they're going to speed up the permitting process. At the present time, based on historical time frames, that would take about three years. We're hoping that, that might get down to 18 months to two years would be, I think, an optimistic view of that and that's kind of what we're hoping for.
Bill Powers: Okay. No, that's very helpful. And so basically, the time frame of getting it would depend on a mine. I'm guessing the -- it would require a fair bit of work since it has not been -- I'm guessing, it hasn't been active for quite some time.
William Shaver: Well, that area, in fact, has a ramp there, an exploration ramp that was driven many years ago. To tell you the truth, I don't know exactly when it was, but it's approximately 10 years ago. And so there's a significant amount of development to bringing a new mine into operation there. The positive thing about that area is the depth of the overburden is insignificant. We have ore right at surface that we understand -- that we could be mining like within months of getting a permit. So I think there's lots of really good things about the ore body that's out at Grey Fox, and the drilling that we're doing right now continues to expand the resources that we have there. And we've just spent a couple of days up there reviewing the drilling and the exploration program. And we're very, very positive about what's going to happen up there based on our success up to now.
Operator: [Operator Instructions].
Rob McEwen: While we're pausing, operator, one thing I'd like to bring up that I didn't mention in my introductory comments was something that's going to happen to our financials. Our income statement is going to look better once the feasibility study for Los Azules has been published, which will be this summer. It's going to improve because we won't be needing to include the expenses of McEwen Copper and Los Azules in our income statement any longer once the feasibility is published. That expense will be capitalized under accounting standards. And so it will improve our bottom line. And over the period of the last few years, I think Jeff is going to tell us how much we've had to incorporate in our income statement for the expenses of Los Azules. And that -- but that will be removed, which I think is a good thing. We've invested heavily to increase the value of Los Azules, and we've paid the price of showing a negative bottom line for quite a while as a result of those investments.
Jeff Chan: Yes. So just to expand on what Rob just mentioned, at the end of the first quarter, we reported negative $6.3 million in net income. And capitalizing the expenditures of McEwen Copper would have resulted in a positive net income of $2.3 million rather than a negative. If we take a look at the last few years of expenditures since 2021, we've spent over $250 million in McEwen Copper that we could have capitalized onto our books should we have hit feasibility four years ago.
Rob McEwen: Yes. Thank you, Jeff.
Operator: And there are no -- my apologies. There are no questions at this time. I will now turn the call back over to you, Rob McEwen, for some final closing remarks.
Rob McEwen: Thank you, Operator. When I look at it, it's been an interesting year so far. I think it's going to get more exciting. From an operational standpoint, we're still not quite there in terms of where we want to be with respect to performance, but that's on the right track to be repaired. As I said, from a financial standpoint, we've improved our liquidity. We have the money to advance the project at Fox, and that's going to have a big impact on our future. Although a couple of years away, but that's moving ahead. Exploration is delivering encouraging results. And so there will be active news coming out on exploration each quarter. And I believe price gold is going higher. So for a company like -- such as ourselves, higher gold is a good price for us. Thank you.
Operator: And this concludes today's call. You may now disconnect.